Operator: Ladies and gentlemen, good morning. Welcome to the UBS Second Quarter Results Conference Call. I am Stephanie, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] This conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to UBS.
Caroline Stewart: Good morning, and welcome to our second quarter results presentation. My name is Caroline Stewart, and I'm the Head of Investor Relations at UBS. This morning, Sergio Ermotti, our CEO, will present the highlights for the second quarter; and Tom Naratil, our CFO, will talk through the details. After our presentation, we'll take questions from analysts and investors and we'll address questions from journalists in a separate call. Before I hand over to Sergio, I'd like to draw your attention to the slide containing our cautionary statement with regard to forward-looking statements, and I'd ask that you read it carefully. Now I'd like to hand over to Sergio.
Sergio P. Ermotti: Thank you, Caroline. Good morning, everyone. In the second quarter, we continued to execute our strategy successfully, while all our businesses performed well despite volatile macroeconomic and market conditions. As we have already announced, we continue to address a number of issues from the past, which led to charges of CHF 865 million. Despite these challenges, we reported a net profit attributable to shareholders of CHF 690 million and significantly improved our industry-leading capital ratios. We have also delivered almost CHF 2 billion of cost savings since we announced our initial program in the summer of 2011. The results of our disciplined execution proves we have the right strategy. Our financial performance and capital strengths are a testament to the commitment of our staff, the loyalty of our clients and the strength of our franchise. So let me run through our achievements in the quarter. In Wealth Management, we delivered our best financial performance in 4 years, excluding the effect of the Swiss-U.K. tax agreement and restructuring costs. Gross margins held up well at 90 basis points, and net new money was strong at over CHF 10 billion. All regions attracted positive flows. And, last but not least, UBS was named Best Global Wealth Manager in the Euromoney Awards for Excellence for the second year running. Our performance in Wealth Management Americas was also very strong, setting a new record for profit before tax. Revenues, invested assets and revenues per FA also reached a new high, and we recorded net new money of USD 2.8 billion. Year-to-date, our Wealth Management businesses have attracted net new money of over CHF 36 billion, an increase of 50% compared with the first half of 2012. In the past year, our invested asset base has risen by almost CHF 165 billion to CHF 1.7 trillion. I'm also pleased that a recent industry survey confirmed that UBS has regained its position as the largest global wealth manager, and also shows that we were the fastest-growing large wealth manager in 2012. This success underlines the trust clients place in UBS and the security we offer them as one of the best capitalized banks in the world. It also highlights the strength of our client relationships and the expertise and solutions our advisors provide. Our results in the second quarter reflected our longer-term track record in asset gathering, which has enabled us to steadily grow high-quality profits despite low client activities. While a rising invested asset base is a key driver of growth, let me emphasize that our focus remains on profitable growth. Investment Bank recorded a pretax profit of CHF 806 million, maintaining its client focus while maximizing efficient resource utilization. The underlying performance in Corporate Client Solutions was solid, and our leading equities business delivered its best second quarter result in 3 years. With a return on attributed equity of 38% for the quarter, we have proven again that we can deliver strong returns while maintaining our discipline on costs, risk-weighted assets and balance sheet. Our model is delivering compelling results for our clients and for our shareholders, and it's the right model for UBS. Global Asset Management recorded an adjusted profit broadly in line with the previous quarter despite more challenging conditions. The business also attracted third-party net new money of CHF 1.6 billion. Retail & Corporate had another strong result with pretax profit up 8%. Net new money business volume was more mixed, with continued growth in loans and retail deposits, offset by a small number of outflows from corporate clients. Net new business volume growth over the last 2 years has outpaced GDP growth in Switzerland. And we are confident that this trend will continue over the longer term. Our Swiss business was named Best Bank in Switzerland in the Euromoney Awards for Excellence for the second consecutive year, and I'm pleased that our Retail & Corporate business was instrumental in this achievement. For Corporate Center, we recorded losses of over CHF 1 billion, which includes CHF 700 million of charges related to litigation and regulatory matters. Performance in the quarter was within the ranges embedded in our financial targets and capital plans. More significantly, our disciplined approach to risk-weighted assets reduction has allowed us to exceed our year-end target 6 months earlier. We'll spend a moment looking at our business, at our success in managing the rundown of the non-core and Legacy Portfolio. We began to reduce risk-weighted assets in our Legacy Portfolio from Q4 2011 and non-core from Q4 2012. We have well-established principles around discipline, risk management, oversight, as well as a clear portfolio management approach. Our team has done an exceptional job so far, not only by reducing risk-weighted assets by around CHF 92 billion, but also reducing operational risk and complexity. We have established a 7-quarter track record of consistent, rapid and economic risk-weighted assets reduction. Regarding a potential acceleration, rapid sales that sacrifice capital or create the illusion of shareholder value enhancement are not part of our agenda. As the non-core portfolio is carefully risk managed and well collateralized, our approach comes at a small cost. So we will continue to carefully assess each opportunity. For sure, speed is important, but long-term value creation remains paramount. Our success at reducing risk-weighted assets was instrumental in driving up our fully-applied Basel III common equity Tier 1 ratio by over 100 basis points to 11.2%, a ratio that is undoubtedly the best in our peer group. As we announced this morning, we expect to exercise the option to purchase the equity of the StabFund in the fourth quarter. We estimate that this will add 70 to 90 basis points of -- to our fully-applied core equity Tier 1 ratio in Q4, allowing us to exceed our year-end target of 11.5%, even before considering any further progress we may make over the second half. As you are aware, the fully implemented Basel III measures -- we have fully implemented Basel III measures and we comply with and, in many cases, exceed the requirements of all currently applicable regulations. This gives us a distinct perspective on recent regulatory developments. Specifically, we welcome the opportunity to contribute to the debate and comment on the leverage ratio refinements proposed by the Basel Committee, as the impact of further regulatory measures should be considered carefully. We believe it is important that regulators ensure the quality of both the numerator or the capital base and the denominator or total exposure. Balance sheet size matters, but quality must not be overlooked. As an example, the last financial crisis underlined the importance of liquidity to the industry. It would be, therefore, counterproductive to penalize them for maintaining the liquidity buffers designed to make them safer. Overall, I'm pleased with our performance this quarter. Our continued focus on disciplined execution and client service has enabled us to deliver on our targets despite a challenging environment. So while the industry typically experiences headwinds over the second half of the year and the macroeconomic outlook remains difficult, our successes in the first half means we are prepared to face these challenges with confidence. Our strategy is the right one for the long-term success of UBS. And with continued disciplined execution, we are confident we will deliver sustainable returns for shareholders. Now Tom will take you through the details on our second quarter performance. Tom?
Thomas Naratil: Thanks, Sergio. Good morning, everyone. As usual, my commentary will reference adjusted results. This quarter's results exclude an own credit gain of CHF 138 million and net restructuring charges of CHF 140 million. We did not adjust for CHF 865 million in charges related to litigation, regulatory and similar matters, the charge related to the Swiss-U.K. tax agreement, or an impairment of certain financial assets. All our business divisions performed well and contributed to the group pretax profit of approximately CHF 1 billion. Our net profit was CHF 690 million, as we attributed approximately CHF 200 million to preferred noteholders and recorded a tax expense of CHF 125 million. While we forecast the full year tax rate of around 30%, it may differ significantly depending on several factors, including any revaluation of deferred tax assets as a result of our annual business planning process. Book value per share was slightly down this quarter, largely due to net losses and other comprehensive income. The impact of changes in long-term interest rates on our cash flow hedges and AFS portfolio led to unrealized losses CHF 1 billion. Currency translation losses were approximately CHF 200 million. These effects were partly offset by gains on defined benefit plans of approximately CHF 500 million. We've anticipated the move to interest rate normalization. In order to manage interest rate risk appropriately, we've carefully managed our balance sheet to create the most value in the longer term. Specifically, in the face of net interest margin compression, we chose not to extend the duration of our interest-bearing assets, and our shareholders have benefited from this approach. As we've said before, the immediate effect of a spike in rates for us and for the industry as a whole would be adverse. However, over time, rising net interest income should more than offset any negative short-term effects. We still estimate that an immediate 100 basis point parallel rise in interest rates would add over CHF 1 billion to our net interest income over 12 months. However, fair market yield curve steepening is less beneficial, as the breakeven time frame extends without the benefits of deposit and money market repricing. For example, this scenario where long-term rates increase 200 basis points and short-term rates increase only 20 basis points, net interest income would benefit by only CHF 400 million over 12 months. Wealth Management delivered its best quarter in 4 years with a pretax profit of CHF 711 million, excluding a charge of CHF 104 million related to the Swiss-U.K. tax agreement. PBT grew 3% quarter-on-quarter and over 40% year-over-year. With net new money at over CHF 10 billion, this was the best second quarter since 2007. This equates to a 4.6 annualized growth rate that's well within our target range. Gross margins were stable in all regions, except APAC, which declined by 7 basis points, driven by lower client activity levels following a very strong first quarter. All regions reported solid net inflows, with exceptional growth in APAC and emerging markets. In Europe, we saw robust growth onshore, which continued to outpace cross-border outflows. Ultra high net worth clients accounted for approximately 90% of net inflows in the division. One of the key areas in delivering profitable growth has been and will continue to be growth in our ultra high net worth segment. Invested assets growth of 17% over the last 12 months is a reflection of our position as the #1 global ultra high net worth wealth manager. Approximately half of this growth came through net new money, which was particularly strong in APAC and the emerging markets. While our success in this segment dilutes overall gross margin, it is very attractive on a net basis. This is especially true for us given our unrivaled scope and scale. For example, in the first half of this year, our ultra high net worth segment delivered a pretax profit margin of 43% compared to 33% in other areas. Our industry-leading pretax profit margin is a direct result of our leading position in the ultra high net worth segment. For Wealth Management as a whole, gross margin decreased by 1 basis point to 90 basis points. We continue to see month-to-month volatility in margin similar to what we saw in Q1, and we exited the second quarter at 88 basis points. The average invested asset base grew 2% quarter-on-quarter, which outpaced revenue growth. Our recurring fee income increased 6% on higher average invested assets and successful pricing initiatives. This more than offset the impact from the migration to retrocession-free products for investment mandates. As we began implementing this change during the quarter, we have not yet seen the full impact. Interest income margin remained stable as revenues benefited from loan and deposit growth, as well as higher treasury-related income. Transaction-based and trading revenues decreased as a result of the decline in client activity. Wealth Management Americas once again posted a new record, with $269 million in pretax profits. This result was achieved on record revenues of almost $1.8 billion, driven by strong recurring fees on higher average managed account balances, as well as higher net interest on our AFS portfolio and increased lending balances. Advisor productivity also increased to record levels, with annualized revenue per advisor of over $1 million and invested assets per advisor of $126 million. Net new money inflows were $2.8 billion, which included approximately $2.5 billion in outflows related to client tax payments. The Investment Bank had another strong quarter, with pretax profits of CHF 806 million. Revenues decreased from a seasonally strong first quarter, which also included the effect of a large private transaction. Expenses were also lower, resulting in a slightly improved cost/income ratio of 64%, slightly better than our 65% to 85% target range. The Investment Bank continues to operate within its balance sheet and risk limits, and productivity metrics remain strong. Return on attributed equity was 38%, well above our target of higher than 15%. Return on Basel III RWAs was 13%, slightly down from a very strong first quarter. Corporate Client Solutions reported revenues of around CHF 800 million. Excluding the previously-mentioned large private transaction in the first quarter, our performance improved. By region, both the Americas and EMEA saw a material improvement. Advisory revenues increased in all regions, driven by several large transactions that closed in the quarter. In equity capital markets, our underlying revenues improved on increased IPO activity. Debt capital markets revenues were stable, and we maintained a top 5 position in our targeted markets and products. Revenues in Investor Client Services were approximately CHF 1.5 billion. Equities generated CHF 1.1 billion in revenues, our best second quarter in 3 years. Client services and cash both recorded increased revenue, and the strong performance in derivatives continued. In FX, revenue increased in our spot business, driven by robust client activity and stronger electronic trading volumes. However, higher volatility and reduced liquidity adversely impacted our options business. Rates and credit revenues also declined due to increased volatility and lower client activity levels in the latter part of the quarter. Strong results this year are a clear demonstration that our focused business model works. It fits our clients' needs and plays to our strengths. Our model is also clearly different relative to the industry, making comparisons less meaningful. For example, our IB business mix shows that we generate a significantly higher proportion of revenues from equities, advisory and underwriting business lines. Also, given our exit to exit -- our decision to exit certain businesses, comparison of FICC at other banks with our FX rates and credit business is no longer relevant. As a result of our unique profile, we may outperform or underperform other investment banks in any given quarter, and this will quite often be a function of the business lines and mix we've chosen. By concentrating on our strengths in capital-light businesses, we've created an efficient model designed to deliver return on attributed equity in excess of 15%. In the second quarter, the IB delivered 60% more revenue than a year ago, despite a 19% reduction of front office staff and an 8% reduction in funded assets. Both return on assets at 4% and return on RWA at 15% year-to-date are significantly higher than in 2012, while value at risk remains at historical lows of roughly half the 2012 average. Global Asset Management's pretax profit was CHF 152 million. Revenues increased slightly as higher management fees more than offset declines in performance fees, particularly in alternative and quantitative investments. The cost/income ratio increased slightly to 69% and remained within our target range. Third-party net inflows continued at CHF 2.7 billion, or CHF 1.6 billion excluding money markets. However, overall, we saw net new money outflows of CHF 2 billion or CHF 1.3 billion excluding money markets. Retail & Corporate delivered a strong pretax profit of CHF 390 million, about 8% higher than the prior quarter. Higher revenues, particularly in our corporate business, outweighed a slight increase in expenses. This led to an improved cost/income ratio of 59%, which is within our target range. After 3 exceptionally strong quarters for net new business volume, we reported negative growth of 2.7%, mainly driven by a small number of corporate outflows, including a withdrawal by Swiss PostFinance following its receipt of a banking license. Over the last 2 years, our business volume grew 11%, driven by steady growth in our retail business as we continued to significantly outpace GDP growth and gain market share. Corporate Center - Core Functions reported a pretax loss of CHF 275 million. Negative revenues were unchanged at CHF 155 million and included macro cash flow hedging effectiveness charges and the asymmetric accounting effects from hedges related to cross-currency funding risks. Expenses not attributed to our business divisions halved to CHF 121 million, reflecting some seasonal effect, lower variable compensation accruals and lower legal and litigation expenses. In non-core and legacy, we reported a pretax loss of approximately CHF 900 million. Following significant cash portfolio reductions in the first quarter, revenues decreased by CHF 400 million to CHF 73 million, reflecting a weaker environment for rates and credit positions and a lower gain from the revaluation of our option to acquire the SNB StabFund's equity. Expenses increased by approximately CHF 420 million, primarily due to higher charges for litigation, mostly in relation to RMBS matters. Our non-core portfolio consists of a large number of diversified and mostly liquid or well-collateralized positions. RWAs decreased by over CHF 11 billion in the second quarter. RWAs related to cash positions were reduced to CHF 4 billion, significantly ahead of the expected exit schedule we presented last October. OTC positions represented CHF 35 billion of RWA at the end of June. Total assets decreased by CHF 78 billion, helped by a substantial decrease in PRVs that was mainly driven by movements in the yield curve. Legacy Portfolio RWAs were CHF 30 billion at the end of June, down CHF 6 billion in the quarter. Over the past 7 quarters, we've reduced RWAs by about 60%. However, we expect the pace of RWA reduction in the Legacy Portfolio to slow in future quarters. Over 20% of the Legacy Portfolio RWAs now relate to operational risk, largely in connection with RMBS-related and other litigation risk. The value of the SNB StabFund option increased to CHF 2.5 billion at the end of June. As Sergio mentioned, we now expect to exercise this option during the fourth quarter. We anticipate that the associated RWA at the time of exercise will be between CHF 3 billion and CHF 7 billion. We estimate that the exercise will contribute an additional 70 to 90 basis points towards our Basel III fully applied CET1 ratio. Since the summer of 2011 when we announced our CHF 2 billion cost-reduction program, we've reduced our headcount by over 5,000 or approximately 8% of the total, and achieved approximately CHF 1.8 billion in savings. However, on a net basis, our costs have increased, primarily due to significantly higher charges for litigation, regulatory and similar matters, as well as adverse currency effects. We also saw an increase in FA compensation, reflecting record performances in our Wealth Management Americas division. We remain focused on cost efficiency as we continue to execute the remaining approximately CHF 2 billion in net savings. The significant majority of future cost reductions will be driven by the Corporate Center and will take 2 to 3 years to be fully realized. We have very good progress in RWA reductions this quarter. Approximately 3/4 of the CHF 20 billion RWA decrease came through sales, hedges and market moves. Non-core and Legacy Portfolio accounted for most of the reduction, driven by lower derivatives and securitization exposures and lower VaR, partly offset by increased RWA related to operational risk. Since the third quarter of 2011, we've reduced RWAs by 40%. With CHF 239 billion at the end of June, we're already ahead of our year-end target. We continue to target future RWAs for the group of less than CHF 200 billion. We're the first major global bank that surpassed an 11% CET1 ratio on a Basel III fully-applied basis, and we're just 30 basis points shy of our year-end target. As mentioned earlier, the expected exercise of the SNB StabFund option in the fourth quarter should contribute an additional 70 to 90 basis points. However, for the remainder of this year, we continue to expect elevated litigation expenses, further restructuring costs, and seasonal and cyclical headwinds to revenue and to the rundown of the non-core and Legacy Portfolio. As a result, we believe that our guidance of the mid-single-digit ROE for the full year is still appropriate. Consistent with what we have said previously, we expect to reach our 13% fully-applied CET1 ratio target only in 2014. Therefore, we expect to continue with our progressive dividend policy for 2013 before considering a payout ratio of more than 50% upon achieving our capital target in the future. Our SRB Basel III leverage ratio increased 14 basis points to 3.9%, mainly due to the reduction of our balance sheet assets. We've reduced the denominator by 6% since the beginning of the year. Our illustrative example shows the potential impact of the exercise of the SNB StabFund option, further issuance of loss-absorbing capital and continued rundown of the non-core and Legacy Portfolio on our leverage ratio. Taken together, these factors alone should allow us to reach the 2019 minimum requirements. This is before any earnings generation and exclude any further changes we may make in our business processes or portfolio. With more than 5 years before the fully-applied leverage ratio becomes effective, we're confident we'll meet the requirements early, as we have with all our Basel III requirements. Our industry-leading capital position remains an important factor in our success and is a unique competitive advantage for the bank. This is especially the case for our unrivaled Wealth Management businesses, where clients value security and financial stability, in addition to professional service and thoughtful advice. Over the last 2.5 years, we attracted nearly CHF 120 billion of net new money as we built our capital position. Our transformation remains on track, and we remain confident in our future success. Thank you. Sergio and I will now take your questions.
Operator: [Operator Instructions] First question from Mr. Huw Van Steenis from Morgan Stanley.
Huw Van Steenis - Morgan Stanley, Research Division: Can I just get back to a question on dividend? I think you've done such a good job burning off the non-core and legacy assets. You're talking about a potential for increase in dividend in '14. Is there any sort of bookends you could give around that comment? And number two, in terms of the rundown of the StabFund, would you expect that, by Christmas or beyond, there'd be a much bigger reduction in RWAs so that you actually have a much lower balance already by the end of 2014 or 2015?
Sergio P. Ermotti: Thank you, Huw. On dividend, I think that we are consistent with what we announced before. I think we will not really change our dividend policy until we reach our 13% target, which is still expected to happen in 2014. For the time being, we will continue with a progressive dividend policy. And we'll assess exactly how to implement that policy at year end, once we know exactly how we end up with. Tom, maybe you can take...
Thomas Naratil: Sure. Huw, on the rundown, at this point in time, we expect the RWA at option exercise would be CHF 3 billion to CHF 7 billion. Upon exercise, when securities move into the banks portfolio, that will move right into our Legacy Portfolio group. And I think, as you've seen, they've demonstrated quite an expertise in reducing RWAs relatively quickly.
Huw Van Steenis - Morgan Stanley, Research Division: Okay. But there's no further litigation or other issues which might make it a slightly more stubborn set of assets to clear? You'd -- we should just amortize it over a relatively swift period of time?
Thomas Naratil: If there is nothing particularly unique about those assets.
Operator: Next question from Mr. Jon Peace, Nomura.
Jon Peace - Nomura Securities Co. Ltd., Research Division: I had a question about gross margins in Wealth Management. I apologize. I just missed the start of the call, but some of your peers have been quite optimistic about the direction of travelers' transaction-related income, in particular. I just wondered how you saw the gross margin developing absent an interest rate rise.
Thomas Naratil: So Jon, on gross margins, first, I think in order to get a really good picture across the industry, I think the data quarter-to-quarter is a little volatile for you to weigh different firms, treat different revenue lines. So I think looking back half-on-half, year-on-year is probably the best way to look at those comparisons. One of the things that we've noted in our client flows is the big volatility month-to-month in gross margin. And we saw a similar volatility in this quarter to what we saw last quarter. We had a month where we were just at the very bottom or just under the very bottom of our target range of 95 to 105 basis points. We had double-digit high to lows in terms of the gross margin during the quarter. And we finished the quarter at 88 basis points below the average. I think anyone that has -- or thinks they have very good visibility on gross margin, I think that's good for them. We just don't see that. I also think it's important to think about cash. During our quarter, our cash balances in our Wealth Management business went up. In our investors survey at Wealth Management Americas, our clients cited roughly stable to a touch higher cash balances and great comfort with those cash balances, despite being a bit more optimistic about both the economy and the equity markets. So we continue to be cautious in our outlook and think that gross margin will remain a little tricky in here.
Operator: Next question from Mr. Kian Abouhossein from JPMorgan.
Kian Abouhossein - JP Morgan Chase & Co, Research Division: First question is related to the StabFund. You're giving the 70 to 90 basis point risk-weighted asset and Tier 1 ratio improvement. And I'm wondering if your risk-weighted asset -- how would your risk-weighted assets be impacted by the new securitization rules? If they would come into effect, how would your risk-weighted assets look different that you're taking on from what you're indicating? Secondly, on cost/income in the IB, you're at the low end of your target, as you indicated. My understanding was that we should assume to be at the higher end for this year and then see a continuous improvement as all of the cost synergies come through. How should we think about the cost/income for the year vis-à-vis potentially kind of adjustment effect in the fourth quarter? Or are you accruing for the current revenue basis in terms of payout? And the third question is related to dividends. I thought that Mr. Ermotti made a statement that there will be no material payout until 2014. But to me, it looks like you could potentially reach 13% by the end of this year. And historically, you were talking more about 13% mean for material payout, i.e. in the 50% range, as I understood. I'm just wondering where we stand at that point.
Sergio P. Ermotti: Thanks, Kian. Let me tackle the last question, and then I'll let Tom take on the other 2. I think that the language we use is the same one. The approach is the same one. Only when we achieve the 13% core equity Tier 1 ratio, we will basically go into a 50% or more payout. At this stage, we are still expecting this to happen only in 2014. Therefore, the dividend impactors will be the 2015 dividend, to be paid early in 2015. I think that, as Tom pointed out in his remarks, we still have to tackle some of the legacy issues. We need to understand that the second half of the year will be challenging. I think that we have restructuring costs that will allow us to create this sustainable profitability going forward that will allow, indeed, to have a more generous payout policy. But we stay very firm on first achieving our targets and then introduce the policy, as we outlined. Tom?
Thomas Naratil: Thanks, Sergio. So Kian, on your cost/income ratio for the IB, we still think the range is 65% to 85%. We've had great performance in revenue lines, great performance in managing the cost by the IB. At the same time, as you know, we're moving into a seasonally slower part of the year. And that will certainly push us back into the range. On your question, I think there was also a question on -- about accruals, compensation. We're current based on performance through the first half of the year. So there's no catch-up to come. On the StabFund, our best range in this is CHF 3 billion to CHF 7 billion of incremental RWA. And our intent is to move them out as quickly as possible. So we're not really looking forward to new rules in our estimates.
Operator: Next question, Mr. Jeremy Sigee from Barclays.
Jeremy Sigee - Barclays Capital, Research Division: Just 3 quick follow-up questions, please, actually. Firstly, on the SNB StabFund, what leverage ratio exposure does it add to the balance sheet when you bring it back on the balance sheet? If I have the same[ph] , what's the leverage ratio exposure that it adds? Second question, the RWA is obviously below your year-end target and you're now emphasizing the kind of CHF 200 billion target more. Is there any reason, x SNB StabFund, why RWAs would go up in the second half? For sure, I will imagine that it would sort of keep coming down with your deleveraging and your runoff and the seasonal impacts. And then third and final question, could you just go back a bit more onto the retrocession fee impact. You said some has happened in Q2, but there's more to come. I just wondered if you could sort of say roughly how far up through that process we are.
Thomas Naratil: Okay. Jeremy, thanks for those questions. SNB, the CHF 3 billion to CHF 7 billion in incremental RWA is only CHF 1 billion to CHF 2 billion in balance sheet. So it's de minimis effect on leverage ratio.
Jeremy Sigee - Barclays Capital, Research Division: The CHF 1 billion to CHF 2 billion was from the balance sheet, but you're saying it's also de minimis in terms of leverage ratio definition?
Thomas Naratil: It's only going to be funded that's coming on. RWA below the year-end target, obviously, we're pressing to continue the reductions that we have. What would put pressure upwards? Obviously, growth in our businesses, Wealth Management, Wealth Management Americas and Retail & Corporate, those are the things where we want to accommodate that growth. And in order to do that, we'll continue our focus on the non-core and Legacy Portfolio reductions. On your questions on the retrocession fee impact, we're about 3/4 of the way through the process. So there is still a little bit of headwind to come in the next quarter. But we are encouraged -- I think this is important. We are encouraged by some of the pricing actions that we've been able to put through, in particular, pricing discipline.
Operator: The next question from Mr. Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann - Autonomous Research LLP: I have 2 questions, please. The first one on the interrelationship between leverage and your risk-weighted asset ratio. Your average risk-weighting has come down during the quarter. It's now 21%. And from what you suggest about the runoff portfolio, it would drop further to about 18% if we take out the runoff in the Legacy Portfolio. And that basically puts you quite a long distance below the 24% breakeven risk weighting, below which your leverage ratio drives your capital needs. How do you think about that? Is there any way for you to raise the risk weighting materially over the next couple of years? Or will you have to target a higher risk-weighted capital ratio as a reaction? And the second question relates to your restructuring expenses. After the first half, you were slightly below CHF 400 million. I think the target was calling more for a level of around CHF 1 billion for the whole year. Do you expect to continue to run below this kind of target level of restructuring expenses? And if so, is there a particular reason why restructuring expenses turned out to be lower than you initially thought?
Thomas Naratil: Stefan, thank you. I think your first question illustrates some of the debate upcoming on the leverage ratio denominator and, in particular, the interesting discussion around how we treat liquidity buffers and carrying better-quality assets in the course of that discussion and debate. So we've been very effective, as you know, as a result of our strategy of taking out higher risk-weighted assets. And that is changing some of the calculations, that you've noted, as a result. So we look forward to the continued debate. And hopefully, we'll see some relief on the liquidity buffer side. Looking at the restructuring costs, last quarter, we had said we thought we'd be about CHF 200 million to CHF 300 million below where we had guided previously. So at this point, we think it's about CHF 800 million in restructuring costs for the year. Two things -- or 2 or 3 things that I think are factoring it in that. Number one, cost of exit employees has been less than we've anticipated, first of all. Second of all, we've had a slightly higher voluntary attrition rate than we had modeled. And then finally, third, I think we've just been a little more efficient in the cost of some of the programs that we thought we'd have to run in order to take some of the costs out.
Operator: The next question from Mr. Christopher Wheeler from Mediobanca.
Christopher Wheeler - Mediobanca Securities, Research Division: A couple of questions, if I may. The first one on Slide 9. Obviously, the ultra high net worth progress, which obviously is outstanding, I guess if -- I'm just looking at the numbers, though, there seems to me every chance that you could have had more high[ph] And higher ultra high net worth money under management within about 2 years than you have other. And obviously, looking at the data you provided on margins, both gross and pretax, I'm still scratching my head and thinking at what stage do you start to perhaps change your mind on your gross margin target of 95 to 105, perhaps bring that down and, at the same time, maybe push up a little on your pretax margin, the 60 to 70, as you see the skew continue. So perhaps, I'm asking you to preempt whatever your next Investor Day is, but I'll be interested in that. Another, the second question, I think, is on Slide 26 on the -- on leverage, which Tom [indiscernible] got us all focusing on, I just wondered if those numbers included what you think the changes might be to the numbers, given the paper that came out on the 26th of June and the impact on things like repos and sold CDS and whether or not that adds another dimension to what you have to do to continue on this very painful path to meeting the new leverage ratio.
Sergio P. Ermotti: Thank you, Chris. Well, on -- in respect of the trend you just mentioned, it's clear that we have been growing much faster than anticipated in our ultra high net worth segment. That's clearly -- it is -- and we are very pleased of this outcome, particularly because if you think about the fact that the most sophisticated investor in the world are favoring us, our platform, our security capital base, it's clearly a great achievement. But in respect of the next multiyear, the 95, 105, we always described it as a multi-year plan. And it's very important to understand that both in the first quarter and in the second quarter, we were still -- or of the -- to the lower range of the -- to the lower range in terms of return on assets in the second quarter and it's slightly above in the first quarter, demonstrating that even though we have this mix changing towards the ultra high net worth, our 95 to 105 on a multiyear level, once the situation is normalized in terms of risk appetite, interest environment, repricing, is still a valid one. Also, because as -- particularly when you look into the emerging markets, as wealth creation will go through the next -- will get broader, it's more likely that you will see the high net worth segment improving and increasing, and our brand and our capabilities will capture that. So clearly, in the last few quarters, we have been seeing an acceleration of ultra high net worth. But the secular trend of wealth creation in the world will favor us as the preeminent wealth manager, and we will capture that opportunity.
Thomas Naratil: Thank you, Chris. On your leverage ratio denominator question, in the assumptions on Slide 26, we've assumed steady-state in our interpretations of the Swiss SRB Basel III leverage ratio. As you know, there are 5 different ways you can look at these definitions. And Sergio mentioned in his remarks that it's going to be the upcoming debate and discussions around how those shake out. But clearly, if you just focus on some of the rule changes, you would see, obviously, a reduction in the ratio. However, part of that debate also has to be how you take a look at the high-quality and liquidity buffers that we're carrying to increase the focus on liquidity, number one. And number two, as I also mentioned in my remarks, this doesn't include any adjustments that you might make in your business processes. And clearly, if some of the rules were to go through in their current form, there would certainly be changes in business processes across the industry.
Operator: Next question from Mr. Kinner Lakhani, Citi.
Kinner R. Lakhani - Citigroup Inc, Research Division: I have 3 questions. Firstly, 3 quarters into your restructuring plan, especially related to the FICC business, do you find at this stage you need to make any kind of adjustments in terms of where the go-to headcount is going, which I think at the group level is 54,000, particularly around any of the details? Or this is far along at the back?
Operator: We lost connection from the questioner. There are no more questions for the meantime.
Sergio P. Ermotti: I will -- we will answer Kinner directly, but I think for everybody else on the phone, I think that I can tackle the first part of the question that I think is. We are 3 quarters into the execution. I would call it a 2.5 since we announced and started implementation in the fourth quarter of 2012. I think that we are just getting confirmation that the direction we are going is the right one. In respect of the headcount reduction, we -- I would call, in any case, our restructuring story a 7-quarter story and not a 2-quarter or 3-quarter story. I think it's true that we have been accelerated. But what we see right now is just a few changes are necessary to basically reshape that business. But directionally, we will be very close to 60,000 headcount at year end. And over the next 2 to 3 years, as Tom mentioned before, we will then implement the rest of the CHF 2 billion cost-reduction exercise that will translate into an equivalent of full-time -- FTEs of around 5,000, 6,000. So I think that's -- those are approximation. Of course, that is not always easy to translate cost into full-time equivalents. But directionally, we are still committed to our target and focus on that.
Operator: The next question is actually from Mr. Michael Helsby from Merrill Lynch.
Michael Helsby - BofA Merrill Lynch, Research Division: Sorry, if I missed this, but I'm just picking up on your previous guidance that NII would be down around CHF 250 million in Wealth and R&C. I think at the first half, you're up CHF 21 million year-on-year. Is the delta just the movement that we've seen in the yield curve and therefore, you no longer think that CHF 250 million is -- you're going to see that headwind in 2013?
Thomas Naratil: Michael, thanks for that question. One of the things that we noted and talked about the results of both Wealth Management, certainly, and Retail & Corporate and, to a lesser extent, Wealth Management Americas, is we've had increased volume. We've had better pricing. And that original CHF 250 million number was based on volume remaining static and no change in pricing. So the headwind is probably a bit less for the year overall or for the remaining portions of the year, probably something on the order of about 70%, 65% of the number.
Caroline Stewart: Now it seems that we've come to the end of the analyst and investor questions. If there is any journalists on the line, please feel free to put your question forward. Beforehand, we'll take one question from Jernej at Goldman Sachs.
Jernej Omahen - Goldman Sachs Group Inc., Research Division: I've got 2 questions left on my list. The first one is, can you please clarify how we should think about the cost line in the Corporate Center? This was a big swing factor in this quarter, both in your core Corporate Center as well as the Corporate Center related to the rundown portfolio. Should we just take the quarterly number as we have it now or -- and extrapolate it? Or is there anything -- any other moving parts that we need to think about? And the second thing I wanted to ask you, which has more to do with sort of anecdotal chatter on the UBS' Investment Bank here in London. There is a view in the market, which is repeated quite frequently, that a number of positions that were cut in UBS' Investment Bank over the course of the past 3 quarters have been reestablished and a number of people hired back. Particularly, apparently, that is supposed to be the case for the rates businesses of UBS' operations here in London. Can you please shed some light on that and explain whether the anecdotes are off the mark or whether there is some truth to them?
Sergio P. Ermotti: Well, let me tackle the last question first. I think that we appreciate that we are an interesting story, and that may create some comments. And I think that we are very focused on discipline and executing our strategy. You can see the headcount trends. You can see the balance sheet movement. You can see the risk-weighted asset movement. I think that, to be honest, we have been hearing a lot of those kinds of rumors. They seem to be favored by -- I don't know which kind of sources. But I can assure you that we are totally focused on executing our strategy, that it's working very well and it's the right one for UBS. So I would just focus on more qualitative aspect of our results and our strategy than those one being rumored.
Thomas Naratil: Then your question on that Corporate Center, when you look at the adjusted expenses, we're obviously not taking out any of the litigation, regulatory and other types of provisions. So that can cause some of the bouncing around that you see. But on the underlying basis, I think if you take a look, in particular, at the non-core and Legacy portfolio, the personnel, we've been seeing an underlying personnel reduction that's in line with the portfolio reduction. So you should expect that glide path maybe to flatten out a bit more. The speed of the deceleration maybe slows down a bit. But overall, I think if you look at the underlying trends, you should be able to project that it's flat to gliding.
Sergio P. Ermotti: Yes. Kinner, I think you're the next one. I was -- I answered your question. I guess I can repeat it for you as well. But we are basically in a journey that has been going on for 7 quarter. Of course, in the last 2.5 quarters, we have been accelerating the strategy. I think that, for sure, we will -- we are constantly doing fine-tuning to our business model. But the first set of headcount reduction has been achieved. We will think -- we think that we will be towards the 60,000 headcount by year end. And still, on -- over the next 2 to 3 years, our goal is, as we execute on the remaining CHF 2 billion of cost savings, we -- this will translate into the headcount reduction for the balance, being around 5,000 to 6,000 people. So I think it's difficult right now to be precise on full FTEs equivalents. But our cost base will come down. And as a function of that, unfortunately, this -- there is a high component of headcount-related consequences.
Kinner R. Lakhani - Citigroup Inc, Research Division: That's very clear. My other question was on DTAs, which is obviously the other source of hidden value. Would you be able to provide us with a bit of an update as to where we are in terms of both recognized and unrecognized DTAs and the timing of any changes or remeasuring these DTAs that we could expect?
Thomas Naratil: Kinner, we expect to do the DTA remeasurement in the third quarter, in line with our business planning process. So when we get to that point in time, we'll make an assessment then.
Kinner R. Lakhani - Citigroup Inc, Research Division: And finally, just on your stress tested Basel III capital ratio, at the point where your headline level gets to 13%, would you expect to stress test it to provide any constraint against that?
Thomas Naratil: I think as we look at achievement of the 13% on a fully-applied basis, in line with the accruals that we have in place for dividends during that year, which counts in the stress testing as being available to be reversed, we should see those 2 coinciding at roughly the same time period. It's obviously one of the things that we have to keep an eye on. And obviously, you're going to run with a little bit of an operational buffer as well. So that's also a component of that.
Kinner R. Lakhani - Citigroup Inc, Research Division: And in terms of the operational buffer, what kind of level would you be thinking of?
Thomas Naratil: I think -- I don't think it's an absolute level that you look at. That's one of the things that we'll look at the stress test to try to measure that. And as I mentioned, when we look at a special dividend accrual within the capital account, since that's available, that's effectively also part of the buffer during that time period.
Operator: Next question from Mr. Andrew Stimpson from KBW.
Andrew Stimpson - Keefe, Bruyette & Woods Limited, Research Division: Sorry to sneak in at the end. Sorry, if I've missed this already. But clearly, earlier on in the quarter, the SNB put some more emphasis on leverage for the Swiss. And I'm just wondering, clearly, you guys are sticking with the 13% core equity Tier 1 ratio threshold before you start increasing dividends. I'm just wondering, surely, my thinking is perhaps the leverage ratio does start to become more of the constraint on whether you can start increasing that payout ratio. I'm just wondering what your thoughts are around that and maybe what the discussions have been with the actual regulator around leverage being the constraint rather than the risk-adjusted ratio?
Thomas Naratil: Sure, Andrew. I think one of the key things to point out, the decision we made to accelerate our strategy in the third quarter of last year was based on some of the work that we did on a forward-looking basis on the leverage ratio and how that would impact our business. So first, we initiated a series of business changes within our strategy in the third quarter of last year to preempt that effect, number one. Number two, I think if you look at our Slide 26, you'd see that we have reduced our leverage ratio denominator by 6% in just 6 months. And so we're going to continue to focus on reducing the denominator itself. There, also on Slide 26, you see some of effects that will come in through the numerator. This is excluding any earnings, by the way. This is just focusing on exercising the StabFund option, the loss-absorbing capital, what makes you the low trigger, high trigger loss observing capital we have as part of our compensation plan. And you'll also see out of that CHF 1.141 trillion in LRD, CHF 240 billion of that is related to the non-core and Legacy Portfolio. And as we mentioned, we're focused on reducing that. But I think we've captured that in our strategic planning.
Operator: Gentlemen, there are no more questions at this time.
Caroline Stewart: I would be very happy now to take questions from journalists.
Unknown Executive: I know we're a little early. I know we have a separate line, but I know that there is some of you who are on this line. So since we're early, for those of you who are on this line and would like to ask questions now from the media, please go ahead. And we will obviously keep the 11:00 timeframe for any journalists that dial in a little bit later on the other number. Any questions from the media?
Operator: [Operator Instructions] The first question is from Mr. Giles Broom from Bloomberg.
Giles Broom: I wondered if you could give us some insight into your market share in Wealth Management, and separately, into your market share in ultra high net worth [indiscernible]. I know it's a difficult one to be precise on, but maybe you can at least give us some color as to what the share is and how things are changing?
Sergio P. Ermotti: Well, I think that -- first of all, I think that, as recently announced by a survey, we have been -- we regained our position as the largest wealth manager in the world, according to Scorpio. And not only in terms of size, we have been among the one -- the biggest one, the one above 400 billion in our asset base. We have been the ones growing the fastest. So that's really one element. One contribution, a major contribution to these results last year was, clearly, our very good results in the ultra high net worth space. It's difficult to give you 3-year statistics, but I think that our -- according to our own internal guidelines, I think that we have a penetration of out of -- 1 of 2 billionaires in the world has a relationship with us. In Asia, this is very -- and much deeper. I think that the penetration goes the high 80%, 90%. So I think that clearly is a testament to the capabilities. But to come out with further data point, I think, is quite difficult. But I would stick to those anecdotal and third-party assessment.
Unknown Executive: Giles, any additional questions?
Giles Broom: I mean, just -- do you feel that your market share across Wealth Management is increasing?
Sergio P. Ermotti: I think that we are...
Giles Broom: Worldwide?
Sergio P. Ermotti: Yes, we are definitely increasing, as you could see from those surveys. But also, we can feel it also. If you look at our growth, all right, in asset base in the last 7, 8 quarters -- 10 quarters actually, since 2011, has been clearly above market trends, which is a clear mix of regaining back clients post crisis. We have been regaining back clients that during the crisis left, but we didn't close the account. And the second issue is that clearly, we are expanding. As you can see from our presentation, a 17% increase of invested assets in ultra high net worth was clearly very, very important. So yes, we are gaining back market share. And not only share of wallet with existing clients, but also, more and more, we can see a clear trend in the last 2 quarters of new clients coming on board.
Unknown Executive: Any other additional questions from the media?
Operator: [Operator Instructions]
Unknown Executive: Okay. Then we will close this call. And we will open the call at 11:00 for media because that's what we promised them. But thanks again for this call.
Sergio P. Ermotti: Yes, thank you for joining, and we'll catch up at the end of October. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.